Daniel Wolfe: Good day, and welcome to the 180 Degree Capital Financial Results Call for the First Quarter of 2017. All participants are currently in a listen-only mode. We will open up the lines to questions following prepared remarks from Kevin Rendino and myself Daniel Wolfe. Before beginning the call, I would like to remind all participants that this call is being recorded. Additionally, we will be referring to slides during the presentation that can be found on our Investor Relations website at ir.180degreecapital.com under the menu option Calendar of Events. Please turn to Slide 2. I would also like to remind participants in this call that this presentation may contain statements of a forward-looking nature relating to future events. Statements contained in this presentation that are forward-looking events and statements are intended to be made pursuant the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to the inherent uncertainties in predicting future results and conditions. These statements reflect the Company's current beliefs and a number of important factors could cause actual results to differ materially from these expressed herein. Please see the Company's filings with the Securities and Exchange Commission for more detailed discussion of the risk and uncertainties associated with the Company's business including but not limited to the risks and uncertainties associated with investing in privately held and publicly traded companies and other significant factors that could affect the company's actual results. Except as otherwise required by Federal Securities laws, 180 Degree Capital Corp. undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. I would now like to turn the call over to Kevin Rendino, Chief Executive Officer and Portfolio Manager of 180 Degree Capital Corp.
Kevin M. Rendino: Thanks Daniel. Thanks everyone for joining us for what is our first earnings call for the newly formed 180 Degree Capital. Before during the call back over Daniel, who will walk you through the quarter and discuss a couple of our holdings. Given this is my first opportunity to speak with you in my new role, I thought I would share some of my early observations as well as discuss our key strategic initiatives. Let's start on Slide 3, which is the summary of the last three months. We're pleased our NAV increased by nearly 4% in the quarter and our share price was up nearly 5% in the quarter. I am firmly aware this has not been the norm over the last few years, and I'll have more on that in a minute. We completed our restructuring. We are now 180 Degree Capital Corp. under the new symbol TURN. I like to thank our Board for their working in getting us here and of course our shareholders for your support over the last four months. We took a considerable chunk of our expense base out and will have some added color on that. And as we start Q2, we are a new business with new leadership and a new strategy, focused on investing in deeply undervalued publicly traded companies. Our first step in our new strategy was put in place in early January when we filed an amended 13D on one of our holding semiconductor company Adesto. Daniel will talk more about that. Please go to Slide 4 and then Slide 5. First and foremost, the reason for me, being here. The reason this company exists is the stock price. I am firmly aware of the direction our stock has had over the last few years. You can see that on Slide 5. Every investment we make, every decision we contemplate, any strategy we pursue will all start by asking ourselves the following question. Is this good for shareholders and is this good for TURN's stock price? If it is, we will go forward, if it isn't, we won't. That's it. I've been a public markets investor for nearly 30 years. I have expectations for the companies that we own and the management team that run those businesses. We want higher earnings and a rising stock price. You all have the same expectation for us. We get it. It's the stock price. I spent my whole career in your shoes. I still sit in those shoes as an investor. We share your expectations of what is required of us. And I view our stock price as a giant voting machine, a giant scoreboard. New York used to have a Mayor named Ed Koch. He was a popular figure. He used to create his constituents on street corners and greet them with the slogan how am I doing. We're not going to have to ask our shareholders how we're doing. We get to see it every day in our stock price, and that is what I will use to measure our success. Improving on our share price is why I'm here and that's priorities one, two and three. So, how we're going to improve our stock price? Slide 6 shows the historical trend of our NAV. It has not been a pretty picture. We need to grow our NAV. End of story. To do that, we must extract the most value possible for the private market assets that we have and as quickly as we can. Some of our companies or early stage but several are midst the later stage. Over the ensuing months we hope to be able to share with you the potential for liquidity events for several of our holdings. As far as our future strategy goes, the vast majority of new investments will be made in small public companies like the one we recently made into Synacor. 180 Degree Capital is an investment management business attempting to hear to the concept of investing 1.1; buy low and sell higher. It really isn't that complicated. That is how you grow NAV and that is what we plan on doing to grow NAV. We'll have more on our investment approach in a little bit. Slide 7 shows you the historical relationship between our stock price and NAV. As you can see, we are trading at a historical low percentage of NAV, essentially, the lowest ratio in our company's history. We must narrow the discount our stock trades have relative to NAV and we think we have a strategy for doing so. Our current share price trades at 58% of net asset value. If 100% of our assets were trading in cash or liquid public market assets, we would expect our stock to trade at or very close to NAV. Because a considerable portion of our assets are private companies, the lack of liquidity has led to a widespread between our stock and the NAV. We dig a little deeper and if your turn to Slide 8, you will see that the discount is even greater when you look at the sum of the parts analysis. If you strip out our cash in public companies, our private portfolio is actually trading at 43% of NAV, not the 58% that everyone thinks it does. Not only has the streak included our private marks are not worth NAV, they ascribed to 60% discount of that value vis-à-vis our stock. Here's our goal; over time we will be converting each and every private market holding to cash in public companies. As that happens, we expect the discount to narrow – materially narrow I might add. The higher Adesto and Synacor go, the higher our cash goes with a flat NAV in our private holdings, our stocks are meaningfully appreciates towards our NAV. Has the market actually truly valued our private portfolio assets and our current discount, they will yield a value today of $1.08, aid our cash and liquid securities at $0.65 a share and our stock should be 20% higher today. That's not taking into consideration the possibility that many of our portfolio holdings are actually worth NAV or there I say more than NAV. We also want to manage third party capital. This will reduce our burn faster as well as share in the profits our investors will earn and we look forward to putting together an investment that asking going out to the markets and raising third party capital. Slide 9 looks at our expenses. NAV needs to grow faster than our expense burn. This has been a problem for our business over the past few years. Despite lowering our operating expenses in prior years, they were still too high, which is one of the primary reasons we recommend our reorganization and the removal of our BDC status. We have dramatically reduced our operating expenses through reduced regulatory costs and we have lowered our expenses as well through lower head count, reduce T&E budgets and other expenses. By way of example, our 2016 expenses were $5.5 million which equates $0.18 per share or 7.5% of our NAV. That means our portfolio needs to rise 7.5% per year just to break even. It's too high a bogie. Our expenses in the first quarter were $1.6 million which equates to $0.051 per share or an annualized 8% of NAV. As a result of our strategy change to a close-end fund, we have talked a lot about how we expect our operating expenses to be reduced. I'm happy to now share with you some specifics. By way of example, we can forecast for Q2 operating expense numbers that are significantly lower than the runway from last year and the first quarter of this year. We expect our expense numbers declined to less than $1 million per quarter in Q2 and our cost savings will be 36% quarter over quarter. We hope that we will be able to offload more of that expense as we sublet our Broadway New York office as well as having some of our severance run off in the next 12 months. Our next quarter's expense of $0.027 per quarter, 1.1% of NAV or predicted to be 4.4% annualized as a percentage of our NAV. Simply put, it is easier to achieve NAV growth when your expense burns is 4.4% as opposed to 7.5%, more on cost savings later. As to our strategy in investment process, our new strategy centers on investing in undervalued small cap companies that are orphaned and removed from the ETF passive world that's completely overtaken the current environment. So, why are we doing this? We believe having a constructive activist bends in the microcap world is a differentiated solution. If done effectively, it should lead to attractive returns in a non-correlated manner. We are headed to a place that isn't as crowded as the index ETF world of large cap investing. Slide 10 highlights a 20-year rolling return profile dating back 90 years. As you can see, microcaps not only outperform small and large cap stocks on average, but they do so over both low and high return periods. Slide 11 shows the orphan nature of the aspect of the group. Companies with market caps of $300 million and less are covered by only 2% of Wall Street analysts. This group is simply not as picked over as other asset classes. Slide 12 is a little good news bad news scenario. By definition, we like our company's management teams to have skin in the game. If a stock does well, we as shareholders do well coinciding with the management and the Board doing well. As you can see from the slide, the average insider ownership of sub $300 million market cap is 26.1%, far exceeding higher capitalization companies. We know management teams like to pad their own wallets, so high ownership generally means the interest of the company's management team and investors are aligned. That said, sometimes too much ownership will scare us off. Sometimes a change in business strategy may be necessary to propel a stock higher. If the Company doesn't share the vision shareholders have or is unwilling to alter its strategy, substantial insider ownership can actually work again shareholders, so with the balance. Slide 13 should be self-explanatory. Over the last 25 years nearly 60% of mergers occurred with companies that were some sub $300 million market cap. Slide 14 shows the non-correlation aspect to our asset class. I view the investing world right now as being one giant ETF, not our space. 0.76 is the actual number. We feel good about tracking in a group of stocks that the world isn't paying attention to. As far as our own process goes, you can see our investment process highlighted on Slide 15. We are Graham and Dodd value investors focused on investing in companies that trade at two-thirds the market on either price to earnings, price to cash flow, price to sales or half the market on price to book, or have an above average dividend yields, although I must say you don't find that all that often in this asset class. Once we screen for companies that fit our fundamental profile, we do a deep dive researching the business speaking with management, industry contacts, Wall Street analysts and the rest. There always needs to be a reason for ownership. We want to own cheap stocks, but being cheap is just the price of admission. To become an actual holding up 180 Degree, we need more than just being an inexpensive stock. We want to own companies where we can identify a catalyst, whereby if that catalyst comes to fruition, it will cause the stock to move higher. We assemble our own components for strategy to improve the financial performance of the target company. There could be a management change, a new product, specific operating model changes, whatever it is, we need to have a reason to believe. We will attempt to work with management teams and boards to affect change. It is all meant to be collegial and not antagonistic, at least in the beginning. Turning to Slide 16, you can see the evolution of our form of constructive activism. Phase one is identifying quality deep undervalued companies with strong management teams in the process of executing a turnaround. These companies do not require substantial timer involvement. Essentially what we have here are companies that have already gone some sort of outside activism in the past, or the board has pursued its own changes without outside pressure. Our new position in Synacor is an example of this. Several years ago the, the board made significant changes to its business and its management. The work has already been done, but investors have yet to reap the rewards. Danny will talk more about this later. Phase two is investing the same company as Phase one, except small changes are necessary to effect change. It could be enhanced investor relations strategies or small focus changes to the operating model which could lead to improve financial performance. More time is involved in Phase 2 but it's not substantial. Phase 3 are companies that need dramatic change to its board or its management team, proposing drastic fundamental change to a company's business. It could be advocating or sell the company in certain instances, sometimes it can mean proxy campaigns and taking seats on the board. Our hope is never to get here, but you have to be willing to do it or companies won't take you seriously. All in all, we prefer Phases 1 and 2 types of investments. The hard work has already been done by either an activist or the board and the management itself. The stock hasn't moved all that much as the Company was undergoing it exchanges and time has already elapsed. The turnaround is coming sooner rather than later. Essentially, we want to be the first one in, but early enough to benefit from a Company's 'TURN' and yes that was a pun intended. With that let me turn our call over to Daniel to review the quarter.
Daniel Wolfe: Thanks Kevin. As Kevin mentioned previously, we completed our transition from a business development company to a register closed-end funds on March 30, 2017. With this change, we are no longer required to file our quarterly financial statements on form 10-Q and instead file a schedule of investments on form N-Q. In this document, we have provided the updated valuation of our portfolio of companies as well as the calculation of net assets and net asset value per share. We are pleased to report that the net assets increased by approximately $3.2 million or 4.5% from $72.3 million as of December 31, 2016 to $75.5 million as of March 31, 2017. Net asset value per share increased by $0.9 or 3.8% from $2.34 as of December 31, 2016 to $2.43 as of March 31, 2017. The value of our investment portfolio netted approximately $3.1 million of cash invested during the quarter, increased in value by approximately $4.3 million or $0.14 per share. Our expenses investing in restricted stock during the quarter accounted for a decrease in value of approximately $0.05 a share. We no longer have any restricted stock outstanding. Two companies, Adesto and Nanosys accounted for substantially all of the increases in value during the quarter. NGX Bio, Senova Systems and potential milestone payments from the acquisition of Molecular Imprints by Canon accounted for the majority of our decreases in value. We ended the quarter with approximately $10.6 million in cash and we currently have approximately $8.2 million in cash on hand. I would like to speak about the largest increase in value in our portfolio during the quarter, Adesto Technologies Corporation. Please refer to Slide 17. As many of you already know, Adesto is a publicly traded company that trades under the symbol IOTS. Adesto completed its IPO in October 2015 at a price per share $5. The stock subsequently rose to a high of $8.50 before decreasing substantially throughout the year to a low of $1.50. We own approximately 1.8 million shares of Adesto. While Kevin did not formally join as CEO until March 30, 2017, we changed our passive approach of managing this investment to an active approach. As discussed in our 13D filing on January 9, 2017. Since this point in early January, we have been actively engaged with management of Adesto to convey our thoughts and ideas regarding primarily messaging and spending on R&D. Many of our proposals were reflected in their updated presentation materials and investor communications. We were also pleased to see it spend on R&D decrease from prior quarters and their commitment to continue to decrease these levels as a percentage of overall revenue. Adesto stock was trading at $1.90 on January 9, 2017. It was trading at $4.15 as of March 31, 2017 and it closed at $5.35 yesterday. We are obviously pleased with this trend. The largest decrease in value in our portfolio during the quarter was NGX Bio, due to risks associated with its ongoing financing requirements. Additionally, we did not receive a potential milestone payments associated with the acquisition of Molecular Imprints by Canon and we decreased the probabilities associated with the receipt of milestone payments associated with the sale of the assets of s Senova to an undisclosed corporation. That said, a number of our most mature privately held companies continue to make progress building their respective businesses. Please refer to slide 18. D-Wave Systems announced the sale of its new 2000 qubit system to Temporal Data Systems. The 2000 qubit upgrade system will also be installed at the Quantum Artificial Intelligence lab run by Google, NASA and the University Space Research Association. Additionally, Volkswagen announced a collaboration with D-Wave on the Traffic Flow Optimization Project. AgBiome received EPA approval for its first product, a biological fungicide products marketed as Zio for use in turf and ornamental applications. HZO continues to penetrate the tablet, automotive, audio and wearable market with its differentiated waterproofing solutions. Nanosys announced that it partnered with the Chinese film manufacturer Exciton to bring its Quantum Dot enhancement films to market alongside existing partners 3M and Hitachi. Mersana presented data at the recent American Association for Cancer Research Annual Meeting that supported the efficacy and tolerability of its clinical stage antibodies drug conjugate therapeutic for cancer. I note that these five companies have a collective valuation of approximately $32.1 million or more than the $24 million in value that our stock price currently reflects on our private portfolio as a whole, if cash and public securities are valued at full value. As Kevin mentioned, we also have a number of early stage companies that comprise the remaining $25 million of our portfolio of assets. While 180 Degree Capital technically began as a company on March 24, 2017, as Kevin mentioned he and I have been actively in diligence on number of potential investment opportunities since announcing this transition in December 2016. In February 2017, we were introduced to a company called Synacor that trades under the symbol SYNC. Please refer to Slide 19. Synacor is a technology development multi-platform services and revenue provider for video, internet and communication providers, device manufacturers and enterprises. Through its managed portals and advertising solutions, the Company enables its customers to earn revenues by monetizing media across their customers. The Company's reoccurring and fee based revenue solutions include end-to-end advanced video services, email and collaboration services, cloud based authentication and paid content and premium services. When we began our diligence on the Company, it was trading at $3.15 per share. During the period between our introduction and our investment, we became increasingly convinced that this company was a deeply undervalued and could be a very interesting investment opportunity owing to factors including Synacor has a high quality management team that joined in 2014 and is executing on a plan to reach $300 million in and $30 million in EBITDA in 2019. The company won AT&T's portal business from Yahoo in May 2016, which we believe was a potential transformative event. This business has projected to generate $100 million in annual revenue starting in the second half of 2017. The Company successfully integrated acquisitions as Zimbra, Technorati and NimbleTV. When combined with its cloud ID authentication technology, we believe this suite of products provides a platform for growth of high margin reoccurring revenue streams alongside its portal and advertising businesses. Synacor has a strong balance sheet. When combined with its strengthening income statement and overall business execution. We believe these factors support a substantially higher valuation that is currently ascribed to the Company. The Company's stock ran up to a high of $4.20 following the announcement in March 2017 that was on schedule to launch the AT&T portal in the second half of this year. We remain patient during this time looking for the right opportunity to purchase a meaningful position in the Company. The secondary offering presented such an opportunity. We believe we received a meaningful allocation in the oversubscribed financing owing to our early activate and constructive engagement with Synacor's management. I'll now turn the call back to Kevin for closing remarks, before we open the lines to questions.
Kevin M. Rendino: Thanks Daniel. I've talked to a number of you over the past four months and I plan on talking to all of you in the ensuing months. By now you should know the reason for me being here. We want to get this stock price higher and that is going to be how we measure our success. To do so, we have to narrow the discount to NAV vis-à-vis our share price. We need to increase our NAV share through investment appreciation and we need to decrease and eliminate the drag on the NAV from non-investment activities through minimizing day to day operating expenses as much as possible, as well as generating income for managing third-party capital or other sources. We're 100% aligned with shareholders. We must increase the price of our stock to truly be successful. We think we're on our way to doing so and we look forward to reporting to you on our ensuing quarters. Thanks Daniel now, we'll take some questions.
A - Daniel Wolfe: [Operator Instructions] Our first question comes from the line of (Michael Morelli). Michael Please go ahead.
Michael Morelli: In this restructuring, what is the effect of – what is the – is there a reduction or an increase in executive compensation? And if so, what are the percentages in terms of higher or lower?
Kevin M. Rendino: Thanks Mike for your question. As we said it in our earlier comments, expenses were roughly 8% or 7.5% of our NAV in year 2016 and we expect to get that number down to 4.4% for the balance of this year and potentially even lower for next year. We're not going to breakout each line item of our expense base. But our expenses are materially lower with the newer reorganization.
Michael Morelli: I was concerned that that you know all the executives coming more and more people are getting paid that the executive part was going to chub?
Kevin M. Rendino: We actually have less people now than we had before, by a factor of 50%. You'll see executive compensation vis-à-vis our proxy, which will go out – which is out, the proxy is out, so you can look at our compensation for last year and then of course. This year's compensation will be reflected in our proxy in 2018. But expenses are going down. We have less people and so all of the things that you want from us we're delivering on.
Daniel Wolfe: And you'll see in the proxy materials actually that the – it talks about who is with the firm going for it and who is not with the firm going for it and you can see that as Kevin mentioned we have dramatically reduced the headcount and are really focused on you know building value for shareholders.
Michael Morelli: Thank you.
Daniel Wolfe: Our next question comes along as (Tom Bonsudo).
Tom Bonsudo: Yes good morning gentlemen. Thank you for the call. Appreciate it. Just a few clarifying questions if I may. As I observed the, and I want to make sure I get my data right here, so the Synacor purchase if I did my numbers right, is it about a 2% position that you have in Synacor of Synacor?
Daniel Wolfe: That's about right.
Tom Bonsudo: Okay. And then…
Kevin M. Rendino: 2.25 million divided by the assets, you are talking about almost a 3% position.
Tom Bonsudo: Okay, so somewhere in that range. And then Adesto, if I've got my numbers, it's about 11% of the debt, is that correct?
Daniel Wolfe: That's correct.
Tom Bonsudo: Okay, so if we're to compare those two companies and we think about what your strategy is going forward. Do you feel there is certainly percentage that you need to achieve in order to have the influence you want to have to make the changes you want to make?
Kevin M. Rendino: So, it depends. Obviously the more ownership you have by definition the more influence you'll have. A lot depends upon the Boards. You can own 10% of the business, but if you've got an entrenched board and management team with a significantly higher percentage of ownership then you have, it becomes little more difficult. You can have a couple of board – if you go into another position, that kind of hasn't worked and stock prices sort of done nothing for a long period of time and you may have a couple of board members that are really uneasy but don't know how to go about actually affecting change even with the position of 2% or 3%, you can affect some change. So, it truly does depend, Tom on the individual company. Obviously, the more you own, the more influence you should have. Generally speaking that's true. It doesn't practically work that way all the time. We're not going to take a position in a company that's less than 2% to 3% to 4% though. Any new positions will have significant ownership in.
Tom Bonsudo: Okay. And then along those lines on Slide 15, it refers to you know in your process here that you've outlined low inside ownership and maybe you give me a similar answer but when you – it depends, but is there a kind of a level of inside ownership that you say while hey it's the inside ownership as soon as executive manager and the Board is less than a certain, this level that's of a good screening, because we're doing the screenings typically, it's somewhat quantitative, but some of the things you have there are more qualitative.
Kevin M. Rendino: So, you got to at the Page 1 shareholders, but anything that approaches sort of 20% is an outlier, meaning we really need to feel good about the business and the strategy the business for us to get involved. If we look at something and we think the business strategy is completely flawed, and we think there are a number of changes that need to be made. And the insider ownership is 20%, probably not going to get involved. If you look at a company like U.S. Cellular for instance, and by the way it doesn't necessarily only come from ownership, it also comes from some dual class stock in other words, you get in involved in a lot of these that have Class A and Class B stocks. So, that's going to be 1%, but if there is Sumner Redstone, they own the entire voting rights of the companies. We are not going to get involved in any of that. U.S. Cellular by example of a larger name is one then. No matter what we think of U.S. Cellular, not that it's a position from $180, I'm just using it as a reference this point. Until that family decides to actually do the right thing, the stock is going to be $39 for life. If they decide to do the right thing, it'd be $100 in a heartbeat, but you can't – we don't want to bang our heads against the wall fighting management when we know at the end of the day, we're going to lose. So, anything nearing 20% is a flag for sure. Actually anything sort of at the 15% is a flag.
Tom Bonsudo: And then you know, you talked a lot about investing in microcap where you can really have an influence yet. On Pages 10 through 14, it actually and your titled all reference of small cap. I was thrown off by that little. Can you speak to that?
Kevin M. Rendino: Sorry. Those slides that I referenced are – its' really microcap. Now it depends how you define it. But, we are focused on microcaps, but we are also focus on small caps, so sort of the $250 million and below, you have to define microcap at how you want to define it. We are focused on the smallest of small right now, given our own asset base. And so, that's why you should take a look at the blue charts or the blue bar as opposed to the orange bar and the black bar in Slide 10.
Tom Bonsudo: Okay. Alright. Great. Thank you guys.
Kevin M. Rendino: Thanks Tom.
Daniel Wolfe: Thanks Tom. Next comes from Skagen Capital. Please go ahead.
Unidentified Analyst: Hey guys congrats on the quarter. I just noticed cash seem to have decreased from end of year till May about $6 million. I think you mentioned investment in Synacor and then maybe some G&A probably $4-ish million. Where is the other $2 million? And then stock buyback, I know you guys had a program in place, just curious to hear your thoughts, given the discount to NAV?
Daniel Wolfe: Yeah. So, during the quarter there was – there were other investments that were made as well, so you had $2 million that went into HALE, you have $625,000 that went into TARA Biosystems and then you have operating expenses during the quarter in terms of the cash burn during the quarter.
Kevin M. Rendino: In future quarters we're going to actually use cash plus liquid securities and you should look at that as one bucket as opposed to just cash or as opposed to just liquid securities. We want to build the buckets for both of those as a percentage of our assets and that's the goal here over the next three years. In terms of certain share repurchase, I'm firmly aware of where the stock trades relatives to NAV. To me it's not the right price. The market has decided it is the right price today. We will as the board and the management team, assess asset allocation decisions vis-à-vis the cash that we have. It's not like we're sitting a tremendous amount of cash right now and we've used some of it to imitate our new strategy. But rest assured, we think about share repurchase in a matter that you want us to think about it. And on top of that, as you can see from prior reporting of periods, insiders have actually been buying stock as well. So, you know if we can figure out a way to do it and then continue to still run our strategy and share repurchase is going to make a lot of sense for us.
Unidentified Analyst: Thanks.
Daniel Wolfe: Next question from the line Palogic.
Unidentified Analyst: Hey guys, thanks for taking my question. The last caller asked the question I was going to ask, but could you may be further give it little more details or relates to how you think about share repurchases and if and when it wouldn't make sense. I mean so from a third party, looking at your private portfolio, we don't have the information that you've got as it relates to the ability to judge the value of that, and kind of your confidence level that A the largest positions, your most mature private portfolio companies are valued kind of at where you say they are versus the downside and kind of the upside that may exist there et cetera. So, you are in a better position to judge that and maybe the market and so how do you make that determination how do you think about that?
Kevin M. Rendino: So, I've – we've asked the same questions to the companies that we own. I expect you to ask that question of us and we ask ourselves that question every day. It's really an asset allocation decision. Just because the market thinks our stock price at $1.43 is what the current true value of the business is, we don't necessarily agree with that. Our NAV is the NAV for a reason. It's audited marks on private businesses by Price Waterhouse and Duff and Phelps. We don't make these numbers up. They are what they are. Many of our companies are marked because of rounds of finance it's based on and the market caps of those rounds, when the rounds were done. So, we see what other investors have been willing to pay for businesses in the private world. We take share repurchase very seriously. We want to make sure that we balance that against actually making investment decisions on behalf of our shareholders vis-à-vis our public companies. If I had more money, I would do both today, because we are I would say – we can argue cash starved. The challenges are greater than if we had twice the amount of cash sitting on our balance sheet. That's not to suggest that we're not going to go in and buy stock. That's not to suggest at all that we're – that share repurchases is not on the table, because it is – we just want to make smart asset allocation decisions based on the cash that we have. We take share repurchase very seriously, and I don't think that $1.43 is the right price. And my way reflecting that to you, was if you go back and look in in the one week that I haven't been restricted this year, I was in the open market buying stock in my personal account. So, that shares with you the confidence that I have not only in our business strategy but in our portfolio of assets that we currently have.
Unidentified Analyst: Okay and then, would you not consider a margin borrowings are you out of the borrowing game?
Kevin M. Rendino: So, BBDC means we can use less leverage today than we could before. I'm not really a leverage guy. I mean money is cheap. We know that. The last thing I'm going to do is lever up this balance sheet. It's just not – it's not part of my investment process in my past. Might we use some leverage at some point, perhaps. It's certainly not something that we think about doing or something we are going to be doing in the next six months.
Unidentified Analyst: Okay fantastic. Thank you very much.
Daniel Wolfe: [Operator Instructions] Our next question comes from anonymous caller. Please go ahead.
Sam Robosky: Hi. It's Sam Robosky. Kevin and Dan, it's been – this is a good start. Now tell me the cash at the $8.1 million as of May, what was the cash as of March 31 and what are expectations of creating cash for the June quarter?
Daniel Wolfe: So, cash as of the end of the quarter was $10.6 million. You know the bulk of the transition of cash top from the $10.6 million to the $8.2 million obviously was the investment in Synacor and then some operating expenses. We don't give guidance as to you know the expectations for conversion of cash, securities to cash. I think we believe there are meaningful opportunities to see liquidity events in the portfolio, but I think this is also why we're going to be speaking about cash plus liquid securities going forward, because the portfolio will be dynamic and we have the more flexibility to do so with the liquid positions. Kevin, I don't know if you want to add anything to that?
Kevin M. Rendino: Sam, this is a business that historically when I joined the board in April was in run off. And Harris actually wasn't even in business. They had a portfolio of private businesses with too high burn and we're not really making any new investments. They were trying to make follow-on investments, but the only way they were able to do that, because the burn the so high was to sell other positions. And it was self-defeating and Harris & Harris was getting itself into forced liquidations. We've gotten ourselves in a position with where the end of the year, we sold Metabolon where our cash position was pretty strong. Adesto has risen, as Daniel said in his earlier comment from $1.90 to $5.20. You can look at that. We view that as cash. Now maybe it's not 100 percent of cash, you've got to sell it. There could be some discount there if you had to sell it. But we look at that as cash. So, we are going to convert these private market holdings, these private market – private equity holdings and we are going to convert them when they become liquid, we are going to take that cast we're either going to put it on the balance sheet or going to invest it in the public markets. We're going to use it for share repurchase, or just hand it back to shareholders. And so you just need to simply look at the combination of cash and liquid securities, just don't look at cash.
Sam Robosky: Okay. That's good.
Kevin M. Rendino: Cash could be $4 million dollars next quarter, but that's because we found the $4 million investment in something, a public company. So, let's look at that by combining the two.
Sam Robosky: Kevin, how many situations would you say you are presently looking at and what stages would you say they would be if you had the appropriate cash? Would you pull the trigger to invest in or are investing in?
Kevin M. Rendino: So, there is one that if the quarter ended today, we would have a new position. We haven't reflected that yet in our – on our balance sheet or in our statements. It's not a large position. It's a small starter position. We are looking to get bigger in that name. There's a number of factors that it will be easier to get bigger if something happens and it will be impossible to get bigger if something doesn't happen. So, we're in the middle of one right now and we're looking at I'd say two or three others, but there is one that's sort of I would it hot on the press.
Sam Robosky: Alright. Well I guess…
Kevin M. Rendino: If I can put the same amount of investment – if I can put the same amount of investment in that one as we did Synacor, we would do it.
Sam Robosky: Sounds good. I think the approach is good Kevin and I think time will show that you are probably going to be right, because this approach has worked over the past. It just takes time and it's a change and people have to know you are changing. Okay. Good luck.
Kevin M. Rendino: Thanks.
Daniel Wolfe: Thank you. So we are not showing any additional questions in the queue.
Kevin M. Rendino: With that, thank you very much for taking the time today. You can find myself or Daniel vis-à-vis email or call us if you have any further questions. We look forward to chatting with you down the road or seeing you if your travels take you to New York. And we look forward to reporting on our future strategy next quarter and sharing with you our progress in the ensuing months. Thank you very much for your time today and have a good one.
Daniel Wolfe: Our call is now over. Everyone can disconnect from the call. Thank you.